Operator: Good day and welcome to the StealthGas Fourth Quarter and Final Year Results Conference Call. Today’s conference is being recorded. At this time, I would like to turn the conference over to Michael Jolliffe. Please go ahead, sir.
Michael Jolliffe: Good morning, everyone, and thank you for joining us in our fourth quarter and full-year 2016 earnings conference call. I’m Michael Jolliffe, the Board Chairman of StealthGas. Joining me on the call today is our CEO, Mr. Harry Vafias, and our Finance Officer, Mrs. Fenia Sakellaris. Before we commence our presentation, I would like for all of you to be reminded that we will be discussing forward-looking statements which reflect current views with respect to future events and financial performance. At this stage, if you could take a moment to read our disclaimer on slide 2 of this presentation. It is noted that risks are further disclosed in StealthGas’ filing with the Securities and Exchange Commission. I would also like to note that all amounts quoted, unless otherwise clarified, are implicitly stated in U.S. dollars. Slide 3 summarizes our key highlights for the fourth quarter and full year of 2016. In the majority of 2016, we faced a difficult market. Rates remained at low levels and the moderate freight increase we saw in some sub-segments of our market was not sufficient to boost profitability at satisfactory levels. In addition, the spot market remained weak, particularly in the second and third quarter of the year. During the fourth quarter, however, demand has picked up, thus contributing positively to our year’s performance. With the two new LPG deliveries we had in 2016, we managed to drive our vessel calendar days up by 10% year on year. We closed 2016 with an operational utilization of 91%; not a bad figure given the difficult market conditions. In the fourth quarter of the year, our commercial performance strengthened. With 49 out of our 55 operating vessels on period charters, we achieved an operational utilization of 94.2% and reduced our commercial off-hire days by 65% compared to the third quarter of the year. We have noticed that demand continues to show positive signs in the first quarter of this year as well and this has helped to secure 73% of our fleet days on period charters for 2017 with a total of $200 million in contracted revenues. In terms of our financial performance, our revenue for 2016 came in at $144 million, an increase compared to 2015 by almost $3 million, while our adjusted EBITDA measure amounted to $52 million. In terms of our leverage and cash position, we still maintain a low gearing of less 40% with a low net debt to assets ratio of 33% as our cash is about $65 million. Slide number 4 provides an analysis of our fleet employment. In terms of charter types, out of a fleet of 55 operating vessels and as at the beginning of February 2017, we had 14 of these on bareboat, 33 on time charters, and eight in the spot market. Taking advantage of a small increase in freight rates, we strategically increased our period coverage. Since our last announcement, we managed to agree 19 new charters and charter extensions, the majority of which are less than a year’s duration, and thus increase our earnings visibility to dollars $200 million. We have a strong period coverage, which currently stands at 88%, while our average coverage for 2017 is 73%. I will now pass the floor to our CEO, Harry Vafias, who will discuss our fleet geography and CapEx plan. Thank you.
Harry Vafias: Good morning, everybody, and thank you for joining our call. With regards to the fleet geography presented in slide 5, 53% of the fleet trades in the Middle and Far East, about 30% in Europe, and about 8% in South America; 5% in Australia, and, finally, 3% in Africa. In comparison to our fleet composition presented in the previous quarter, we had two vessels relocating from America to Asia. On slide 6, we provide you with the analysis of our remaining capital expenditure program scheduled to take place until the end of 2017. Looking at the table on the left-hand side, our remaining CapEx excluding any related advances paid to date is in the order of about $146 million. At the bottom of the table, we provide you with a detailed breakdown of our remaining capital expenditure as to advances and final payments of our future deliveries. In relation to the financing of this capital expenditure, which is presented to the right graph, from a total contract value of $208 million, $62 million are advances paid to date, $140 million is the maximum value of the committed bank debt, leaving us with an equity injection of about $6 million, while our unrestricted cash is in the order of about $65 million. Now, I’ll turn you over to Mrs. Fenia Sakellaris for our financial performance discussion during the fourth quarter 2016 and, later, I will discuss the market and industry outlook.
Fenia Sakellaris: Thank you, Harry. Good morning to everyone. 2016 was not a very satisfactory year in terms of profitability as weak demand evident in the majority of the year in conjunction with low rates suppressed revenue generation. We enjoyed higher fleet utilization in Q4 2016 and a slight increase in rates. However, this was not enough to compensate for the low earnings of the previous quarters. Let us move on to slide 7 where we see the income statement for the fourth quarter of 2016 against the same period of the previous year. Our voyage revenues came at $37.4 million, at same levels as in Q4 2015 in spite the higher operational utilization and the net addition of one vessel, due to weaker rates particularly in the 7,500 cubic meter segment. It’s worth to note that in Q4 2016 our fleet operational utilization of 94.2% was more than 3% higher than in Q4 2015 and the rates for the 7,500 cubic meter pressurized vessels were more than 8% lower. Voyage costs amounted to $3.7 million, marking a 12% decrease compared to Q4 2015. The key driver of voyage cost reduction was the lower number of vessels operating in the spot market. In Q4 2016, we had 28% less spot days compared to the same period of last year. Net revenues, that is revenues after deducted voyage costs, came at $33.7 million. Running costs at $14.5 million increased by 2.5% compared to the same period of last year. The net addition of one vessel this year compared to 2015 is the outcome of our two new LPG deliveries and the sale of our oldest vessel in December 2016. So, in reality, we have been operating two more vessels throughout this year. In addition, in 2016 we had one less vessel on bareboat compared to 2015, which, again, burdens our OpEx. Moreover, on a daily basis, that is dividing our Q4 operating costs by a quarters time charter and spot days that is the actual days that produce OpEx, our costs have actually declined. With regards to dry-docking costs, these amounted to approximately $500,000 given one scheduled dry-docking taking place in the quarter while two dry-dockings had taken place during the same period of last year. Our EBITDA for this last quarter of the year came at $9.3 million; quite low, as this quarter’s earnings were affected by a $5.7 million impairment charge we incurred for some of our older vessels, all of which are older than 20 years. If we look at our adjusted EBITDA measure, which excludes non-cash items, this came at $15.3 million, which indicates an improved performance compared to the same period of last year. Interest and finance costs marked an increase of approximately $700,000 mostly as a result of an increase in LIBOR rates. With an adjusted net income of $1.6 million, our earnings per share for the fourth quarter of 2016 was minus $0.11 while, for the 12 months of 2016, our adjusted net loss is close to $2.2 million, which gives an adjusted EPS of minus $0.05. Slide 8 demonstrates our performance indicators for the period examined. As mentioned earlier on, our operational utilization the last quarter of 2016 was in the order of 94.2%, reflecting demand picking up mostly due to seasonal factors, high demand and a marginal improvement in some segment rates, which translated to a slight improvement to our adjusted time charter equivalent compared to the previous quarters of 2016. Looking at our adjusted operating expense this quarter, we see a declining trend again reflecting that on a daily basis we strive to operate our fleet more efficiently without undermining important variables such as safety and quality. Looking at our balance sheet in slide 9, in 2016 we managed to preserve a rather strong liquidity of $65 million in cash, in spite the delivery of two new LPG vessels we had this year and some advance payment installments in relation to the deliveries of the 22 semi-refrigerated vessels we have in 2017 and 2018. Focusing on the equity and liability side, our gearing still remains low, in the order of 39.7%, while our net debt ratio lies in the order of 33%. Compared to 12 months 2015 our leverage actually decreased by $25 million as no [indiscernible] for vessel delivery was realized in the third and fourth quarter of 2016 and since the beginning of the year our loan principal repayments amounted to $56 million. Overall, we are pleased to follow a sensible and stable loan repayment schedule, which allows us to preserve our debt at moderate levels. Slide 10 presents on a daily basis the evolution of our breakeven against our average time charter equivalent. In Q4 2016, as market fundamentals were improved and we managed to considerably reduce our voyage costs, our average TC was considerably improved. With regards to our daily breakeven, this follows a rather stable trend in the past quarters. Looking briefly at the fleet contribution analysis in the bottom left, time charter contracts is our company’s strongest revenue stream and, therefore, as demand picks up in Q4 2016, we increased our TC fleet coverage. As spot rates still remain at low levels, broader spot activity does not generate the desired profitability. It is also noticeable that in 2016 our spot activity contributed only 8% to our TC earnings. I will now hand you over to our CEO, Mr. Harry Vafias, who will discuss market and company outlook.
Harry Vafias: Proceeding on slide 11, in 2016, Seaborne LPG trade totaled 91 million tons, up by about 6% compared to 2015. Most of the LPG trade growth in 2016 resulted from the expansion of U.S. export volumes, the majority of which were directed to the Asian region. Looking at the period ahead, China is estimated to be the major demand pull of the LPG market towards 2020, but we also see other markets where LPG demand is rising, such as Japan, India and South Korea. It’s also worth noting that we also see a rise in demand for petrochemicals; a fact which supports the trade of the pressurized LPG vessels. Focusing on our segment fundamentals in slide 12, we see that during Q4 2016 rates demonstrated an upward trend; not sufficient, though, to compensate for the decline noted in the past couple of years. West offshore, the pressurized market has remained difficult. The surplus of tonnage controlled by too many competing parties has continued in keeping freight rates at low levels. Lately, however, we have noticed that a few vessels have left the area to go back east in search of better earnings and this has reduced the tonnage overhang. In the East of Suez area, day rates were given a boost compared to where they were six months ago. Petchems continue to be the driving commodity for the improved market. We do expect the market to cool down a bit during spring/summer due to seasonality and turnaround maintenance season for the petchem plants. In terms of scrapping, even though the age distribution of the small LPG fleet favors scrapping, five vessels were scrapped in 2016 and one vessel was scrapped in January 2017. The strong point in our segment is the limited order book for the years to come. As with the published orders, we have nine vessels, that is only 2.5% of total fleet, to be delivered in the period 2017-2018 and no new orders from 2018 onwards, as limited yard space in combination with quite low rates in our market do not support new investment in the medium term. I will now continue to discuss further our company’s outlook commencing with our share performance for the last four months in slide 13. The performance of our stock is presented along with a selected gas carriers peer group. Again, we stress the fact that all of our stocks – all of the stocks in our peer group used to exhibit strong correlation with the oil price. Although oil price still affects StealthGas stock to a certain extent, we feel that, lately, our stock is affected more by how our shareholders perceive our company’s fundamentals. It’s also noted that [indiscernible] presented in our graph, the GASS stock value increased by about 12%. Proceeding to slide 14, we are showing different scenarios on the Company’s performance for 2017. The different scenarios were created based on our existing fixed charters plus vessels open days on the spot market. Revenues were calculated using an estimated spot rate based on the current market and an individual utilization rate for each vessel. We estimate that a hypothetical $500 increase in spot daily rates will lead to approximately $2.5 million contribution to our annual EBITDA. This is important, as it shows a sensitivity of our revenue stream to market rate fluctuations, but, most importantly, our strong earnings improvement potential should the rates increase even modestly. Please note that this forecast excludes the first 22,000 centimeters. Proceeding to slide 15, we can see some valuation multiples of StealthGas against comparable companies. All peer group companies trade at a discount to NAV while asset values exceed current enterprise values. As evident, our company trades at a greater discount than its peers in terms of net asset value despite its safe capital structure with less gearing than its peers and market-leading share of the pressurized market. We believe that low share price combined with solid company fundamentals, such as healthy capital structure, make a good investment opportunity for medium-term investors. Concluding our presentation with slide 16, we summarize all the reasons why we feel StealthGas is a good investment and present the market factors representing improvement would allow our company to express profitability to its fullest potential. We base this belief to our capital structure, our solid fleet management both in terms of chartering operations, cost control, and our consistency in maintaining top-quality vessels striving to provide flawless services to our customers. At this stage, our Board Chairman, Mr. Jolliffe, will summarize our concluding remarks for the period examined.
Michael Jolliffe: The year 2016 was particularly challenging for the pressurized LPGs as, for the majority of the year, our trade was governed by weak freight rates and low demand particularly in the warmer months. However, in the last quarter, we saw a marginal rise in rates in almost all sub-sectors of the pressurized market, but, most importantly, a sudden rise in demand. However, we do acknowledge that it’s too early to judge whether this trend is attributed to the winter or whether it signifies a broader market improvement. Nevertheless, our company took advantage of this market momentum and strategically increased the fleet utilization with new period charters and charter extensions. We have already reached a fleet employment coverage of 73% for 2017 and we increased our earnings visibility to $200 million in contracted revenues. Given that the order book for our segment is almost nonexistent for the years to come, we feel that this may lead to a faster market recovery. We continue to believe that we are very well-positioned to grasp any market upside to the fullest as we operate our extensive modern fleet with low operating costs under a low-leverage model and with earnings visibility through period contracts. Our conservative strategy has helped us to remain breakeven in the down cycles; something that not many companies can say. With a solid cash balance, efficient costs control, and conservative chartering strategy, we have avoided having to issue dilutive equity like many other listed shipping companies have done over the last two years. We have now reached the end of our presentation and we would like to open the floor for your questions. So, operator, please open the floor. Thank you all.
Operator: Thank you. [Operator Instructions] We will now take our first question today from Sam Schaefer of Global Value Investment Corp. Please go ahead. Your line is open.
Sam Schaefer: Hi. Thank you for taking my questions today.
Michael Jolliffe: Hi, Sam.
Sam Schaefer: My first question is for Michael. With the worst of the market behind us and limited order book, does the Company – or how does the Company feel about reinstating the stock buyback or dividend policy?
Michael Jolliffe: Look, we’ve been trying very hard. As you know, we’ve still got the four 22,000 cbm ships coming in the next year and one in – well, three during 2017 and one in 2018. And we are harvesting our cash a little bit in order to pay those OpEx – those CapEx, excuse me – and to allow ourselves sufficient trading room to look for possibilities. We still have the stock buyback on hold, but we won’t be implementing it at least until the next board meeting when we will review it again. We review it at every board meeting, but, as you saw, the market has not been so good last year. It has improved a little bit in the fourth quarter. We’re hoping for better things this year for the reasons that we stated in the presentation. But, we’re keeping our cash close to our chests for the moment. We’ve always been a company that’s been in any danger partly because we’ve managed to keep sensible cash reserves at the right times.
Sam Schaefer: Alright. And then, the next question is for Ms. Sakellaris. I believe in the 2015 20-F the Company had provided us a data point that was the in-water vessels net asset value was exceeding the fair market value. And I believe at 2015 it was $54 million. With the Company taking an impairment charge in Q4 this year, I’m a little curious how the Company decides to take impairment charges versus providing just that data point that states the book value exceeds fair market value.
Fenia Sakellaris: Yes. With regards to the impairment charge, we didn’t fully analyze in more detail. As we mentioned in our call, it was vessels that are above 20 years of age. In our 20-F last year we have very extensively analyzed our impairment testing methodology and as we followed the same exact methodology this year, we had some, for some vessels not passing the test 100%. So, as we said, the rates have declined particularly up to the third quarter of the year. We have seen now a very good rise in demand in Q4 and we are very optimistic for 2017 that we won’t need to impair any more vessels. And please note that impairment is a P&L loss, but it’s not what we feel was very serious. It’s not a cash flow loss. It’s not a cash item. So, from an adjusted perspective, as you have seen, it didn’t affect our results and profitability.
Sam Schaefer: Alright. And then, one last question. I noticed on the current presentation the Company removed Epic Gas as a comparable. Why was that?
Fenia Sakellaris: Yes. We removed Epic because we didn’t find, this quarter, information on the latest financials. It wasn’t any other reason.
Sam Schaefer: Oh, okay. Great. Thank you for taking my questions and good luck with the rest of the year.
Fenia Sakellaris: You’re welcome.
Michael Jolliffe: Thank you.
Operator: [Operator Instructions] It seems there are no further questions at this time.
Harry Vafias: We would like to thank you all for joining us at our conference call today and for your interest and trust in our company and we look forward to having you with us at our next call for our Q1 results in May. Thank you.
Michael Jolliffe: Thank you.
Operator: Ladies and gentlemen, that will conclude today’s conference call. Thank you for your participation. You may now disconnect.